József Váradi: [Audio Gap] this has never happened. So we haven't had any proxies or anything to reference our business to. So we have to kind of learn our base through this process. But the good news is that the year is over, and the context of the business is totally different today than what it was a year ago. So if you look at it a year ago, we were just about to face the Pratt & Whitney GTF issues, now the peak is behind us. And while this issue will continue to drag, but the impact on the business is going to be less and less. Secondly, we basically lost our ability to grow the business due to the groundings a year ago. But now we are regaining strengths again through the supply of new aircraft, and we are back on a growth path again. And that's very different. And thirdly, a year ago, we actually were facing quite a hostile competitive environment, a lot of capacity slowed against us. But this time around, actually, we have the capacity to grow and our competitors will be more constrained with regard to their own supply chain issue. So we think that the context of the business has become a lot more favorable for us over this period, and we are in a lot better place right now. So with regard to the report, this is Q3 fiscal '25. Revenue -- actually, revenue comes across to the strength of the business, you can see that we have been improving our revenue on any metrics you can look at despite all the challenges we have been facing, revenue got stabilized and increased on a unit basis, load factor performed better than a year ago. So we're seeing that this continuing strength of revenue is giving us a strong foundation for demand going forward, which should be turned into our benefit increasingly given the more benign nature of the competitive landscape that our competitors will be more constrained on their own capacity developments. Costs, on the other hand, were more challenging. And again, we have been going through a learning process here. And we were always reporting our best belief and best understanding and best knowledge of our business, but realities have proved to be different here and there. If I just give you one example, so we were talking about the GTF engines and the groundings and kind of how maintenance of those engines happened that given the constraints of shop capacity and availability of labor and availability of parts. Actually, the whole process got lengthened dramatically from something like 70 days to like 350 days for the GTF engine. But the problem is that actually the very same shops, the very same engineers and mechanics deal with the V2500 engines as well. And now those engines are queuing for induction and now those engines are running out in terms of spares in the system. So it's not only a GTF issue, but it is increasingly becoming a V2500 issue, too. I mean that comes with cost and distractions and replanning and more maintenance events and more maintenance costs. And we were not predicting it completely right before. So costs are higher than expected. And I think that kind of affects the financial results of the business. Operational metrics, we talked a lot about that a year ago that we were challenged with regard to fleet utilization, scheduled completion. And you can see that all those core sentiments are now falling in place and are becoming drivers of the business. So we feel very comfortable with our ability to stabilize operations, the reinstatement of operational integrity and make it a continuous driver of the business going forward. The current trading, unfortunately, the higher cost than expected forced us to revise our guidance. Is it totally chances to achieve the previous guidance? It is not. But we're seeing that a number of adverse effects have been forcing us to put new realities on the table. Again, just to give you an example, a week ago, we learned that euro control charges will be dramatically increased, and that's a monopoly kind of play with an annual impact of EUR 60 million as adverse cost to the business. And we have to take those into account as well as the increased depreciation cost and increased maintenance costs resulting from the grounding. So if you really think about it, I mean most of the issues we are guiding for are the consequence of the groundings bigger than expected, and some of the monopoly pricing issues happening in the marketplace. If you just look at airports, airports are becoming increasingly capacity constrained. As capacity scarcity happens, obviously, that translates into increasing the monopoly pricing and increased charges, especially against the backdrop of significant inflation, especially labor inflation in the industry. Now as I said, we are returning to growth. That's a significant event. And it is important to see how we are going to deliver that growth, and we are focused on network densification as opposed to diversification. So we are going to fuel an existing backbone of the network, which we think is the safest way to grow, especially with regard to financial performance. We rescheduled the aircraft deliveries. I know this used to be a significant concern to this community, whether we're going to be overly exposed to too high capacity increase and whether we can execute against that. We adjusted our delivery scheduled based on 2 developing realities. One is Airbus' own ability to actually deliver according to contract. As you know, Airbus has not been delivering according to contract. They've been a lot better than Boeing, but they were not in line with contracts. So we have to adjust for that, and we had to learn exactly what Airbus is capable of doing on the one hand. And secondly, we have to take note of the fact that 40 aircraft or so due to the GFT issues are grounded and those aircraft will be lifted back in the air at one point. And we took that kind of a profile into account for resetting the path for deliveries. And with that, I think we eased the pressure, especially on certain years that new aircraft deliveries were coinciding with significant uplift of aircraft from the ground due to the GTF matters. And now we are smooth on the path and back to the 15% to 20% growth profile on a CAGR basis going forward. Growth will also help us mitigate some of the cost issues we were facing in 2024. I mean, airports probably are the best example that -- of course, due to the labor inflation pressure, a lot of drive by airports were out there to increase charges and they did that fairly successfully from their perspective because we didn't have growth to offset that pressure. But now we are into -- we are back into growth again, and I think that will give us leverage to better mitigate these cost pressure points. We are very confident with regard to the customer demand. I mean, you can see our revenue portfolios. We're seeing that demand is there, and actually it's quite intact. Again because of the ease of the competitive environment, we can really further drive our revenue performance going forward. And with that, you should be expecting the reinstatement of margin performance and the investment-grade balance sheet at industry-leading level in the next few years. And with that, I would hand over to Ian.
Ian Malin: Thank you, JÃ³zsef. We can go to the next slide, please. So we typically save the best for last in terms of guidance, but we're going to bring it forward today just to be -- just to tackle the issue head on. So yes, we're taking the guidance down by roughly EUR 100 million. We're also trying to address the dramatic unrealized FX loss that we incurred in this quarter due to a strengthening dollar. I'll talk about that more in the next slide. But what we're trying to do is maintain consistency with the H1 guidance number of EUR 350 million to EUR 450 million. And the reason why we think we should look at FX differently is because it's unrealized, it's noncash, it's nonoperating. Yes, it matters, and it ultimately counts towards a net profit number. But in terms of performance, we're asking people to disregard that for now and focus on the EUR 250 million to EUR 300 million number. In terms of the headline parts to the guidance picture, so in terms of RASK, no change there. We think the revenue environment is robust. We've been consistently outperforming our prior year results and our peers throughout this fiscal year. In terms of revenue, we see that trend continuing into Q4. There's a bit of distortion in March just because of Easter, which we knew about, and that is extending into F '26. So we're pleased with the consumer. We're pleased with the overall environment, and we're pleased with what we can drive out of that. In terms of capacity, we're bringing that back down again slightly down to flat. We're up a little bit in H1, and that's just simply the challenges based from grounding aircraft. That being said, in terms of passenger count, we have been improving, and you see that in our numbers where that's a result of load factors. So we are becoming better on some of the metrics, but our capacity is still under pressure just because of the overall fleet grounding profile, which as JÃ³zsef mentioned, will start to improve, and I'll talk about that when we talk about the cost side. We are also looking at a benefit from tax. So we continue to optimize tax planning, especially in the changing world where global companies are faced with an evolving tax landscape, especially our Pillar Two GloBE developments. We have a complex tax structure across the group with 4 AOCs, and we're optimizing that constantly. That was always part of the overall guidance number. It's obviously now a bigger part as we bring the guidance down due to cost reasons. And then in terms of ex-fuel CASK, I mean, that's really the driver to the downgrade at this point. And it reflects the general inflationary pressure. It reflects the inefficiency on the groundings, which I'll explain shortly. It reflects some of the timing around the Pratt & Whitney deal. So as you saw, we published the RNS at the end of the year around how we extended the deal for 2 years. It is a good deal. It is the deal that is consistent with what we had prior. We had hoped that there would be other features that we could benefit from that would have impact this fiscal year. Some of them came through, some of them didn't. This reflects partially the impact of that. As JÃ³zsef mentioned, we saw some surprising new cost increases since we published the previous guidance, and that came through. And there's only so much you can do with the time you have left in the year in terms of this year. So we felt it was prudent to bring the guidance down. We spend a lot of time talking and trying to look through unrealized FX. But as the dollar strengthens, there's also an element of realized FX in the business that you don't break out in the cost lines. But certain contracts of ours are dollar-based. And then if the dollar strengthens, that drives the cost up. And so that was part of the reason for the decrease in profit or the increase in cost. And then while our overall disruption costs are improving, and you can see that in the numbers in the following slides, putting aside, of course, this summer where we didn't have the best performance, but in Q1 and Q3 and Q4, we're going to have very strong disruption cost management. Despite the improvements in overall operational performance, what we're seeing is that the market is becoming more efficient in terms of claims, so higher claim ratio. The number of people that actually should -- are entitled to claim that do claim is going up. And that's something that we're going to have to accept as the new reality. People are going to know their rights. They should know their rights and they should take advantage of them. And so we're reflecting that element as well. So the only way for us to reduce that number is to continue to outperform in operations or continue to perform on that. And so we'll make -- we'll keep our focus there. So I'll move to the next slide, just to show you the bridge in terms of how we get there. So if you look at the H1 numbers, which we printed earlier in the fiscal year, the combination of Q1 and Q2 delivered EUR 315 million in net profit. What we're trying to get people to do is to focus on the environment at the time that we issued that guidance, which was roughly a 1.12 euro-dollar rate. If all things have been equal, then FX -- and the FX hadn't moved, then we would have had no unrealized FX gain or FX loss, but that's not the case. So I'll come back to that in a second. So if we stripped out the FX from the Q3 performance, and that generated an EUR 81 million loss, which meant that for the 9 months year-to-date, pre-FX, we delivered EUR 234 million pre-FX. We then are expecting to generate a profit in Q4 that will get us somewhere around EUR 250 million to EUR 300 million. If you take the EUR 160 million unrealized FX loss from Q3 into account, that brings you down significantly. And then we think that based upon where the FX is, and that was as of Monday, we should be somewhere around EUR 125 million to EUR 175 million. We don't know what that's going to be. And frankly, it doesn't matter because, like I said, we can't control it. We have tools in place that we're going to use to try and mitigate the impact going forward, but we can't control it right now. And it's noncash, it's nonoperational. So what we want people to focus on is an apples-to-apples comparison under the conditions at the time that we issued the EUR 350 million to EUR 450 million guidance, and that's the EUR 315 million number, which is what we had effectively banked and then what we need to do now in order to deliver under that -- under those conditions. So if we could go to the next slide, we'll talk about the specific numbers. So overall, we had a healthy revenue growth with ticket RASK up 15%. Ancillary RASK was up around 10%. Importantly, we're back to that EUR 1 per pax number. So we had EUR 1.70 per pax on the ancillary. So that's nice to see that metric come back in line. We had very strong fuel benefit in the quarter. I think it could have been stronger at the end of the day because what we're seeing is that we're still seeing an inefficiency on fuel due to the blend of ceo aircraft versus neo aircraft. We're also managing our cycles on our engines for the GTS appropriately to make sure that we can maximize productivity of those neo aircraft before they go in for inspection for powder metal. Unit cost is an issue. There's a slide on that next, which we'll talk about. But overall, we managed to reduce our operating loss by more than 50%. We are showing a better EBITDA position. And obviously, the revenue of the same ASKs is improving due to the better operational performance. So overall, putting aside costs, we're optimistic with the environment, and we expect that to continue and we expect to maximize that with the actions that we're taking on the network, which JÃ³zsef will talk about later on. I'm sure I'll get questions on the FX side of things and how we're -- and where we are on our overall balance sheet hedging strategy. So I'll address that quickly now. We have the policy amended that has been Board approved, and that is to put in place cross-currency swaps based upon our leases. Unfortunately, the dollar moved very rapidly against us after we got that approval. And we didn't want to crystallize the unrealized FX losses by swapping our entire portfolio into euros at that point. We plan on doing that at the start of the next fiscal year with regards to the existing portfolio and with regards to any aircraft deliveries that are coming as we speak. According to the normal delivery schedule, we will swap them at the time, so we lock in the rate at the time of deliveries. And that we think is the least impact to the overall profitability of the business and the most prudent approach. Obviously, with something like EUR 2.5 billion to EUR 3 billion of existing portfolio to swap, it will take us a few months to work our way through that, but we're expecting that to happen this calendar year. Next slide, please. So it's important to truly reflect on business in its current state and how it's not appropriate to compare with this year versus with last year or with pre-pandemic this current year. We think that, that years we know will be something that you recognize next year and the years beyond. But right now, we have this very interesting condition affecting us. As of last fiscal year, we had 206 total aircraft in our fleet at the end of F '24. This fiscal year, we expect to end the year with around 227 aircraft. So that's an increase of 21 aircraft year-on-year. As you know, not all of those aircraft are flying. You have 40 -- we've had 40 aircraft roughly grounded at any given time. On top of that, you'll remember that we basically gobbled up every spare engine that was available on the market to make sure that we could maximize the number of aircraft flying and minimize the number of aircraft grounded. And so as a result of those -- of the additional asset base, we have to pay for those assets. And so we pay for that through lease rates. And those lease rates then find their way into the P&L in the form of depreciation and interest. And so our nominal costs are going up, and you can see that in the Q3 and then obviously, that will flow through to the Q4. The extent of the impact of that is only really becoming clear as we progress through the year. But if you think about it, we are maintaining flat capacity. And actually, in Q3, we reduced capacity by 1.7%. But our nominal costs are going up. So the numerator is going up for the assets that we're paying, but not necessarily flying. And the ASKs are staying flat or thereabouts. So that's putting huge pressure on the overall unit cost calculation. To put that into perspective, on average, Wizz is generating per plane 15.7% lower ASKs year-on-year. So you have this huge inefficiency, especially impacting lines that have a high fixed cost component and putting pressure on the overall cost structure. And so the only way to deal with that is to make sure that we unpark aircraft. We are incentivized to unpark aircraft as quickly as possible because while those aircraft are -- well, they're not old, but they're older aircraft. They're several years old now. They were financed in a different interest rate environment. So they're actually cheaper aircraft for us, but we're paying for something that we're not using, and that is inefficient. And so as soon as we can start to get that ASK production level back up to historical levels, you start to see a huge unwind of the cost pressure that we see across, of course, the lines that have a fixed cost element for all the lines in the business. And so that's an important point to recognize as we progress through this inflection point. We have an environment where we're going to start unwinding the pressure from grounding. We have a revenue environment that's holding up. And we have a competitive environment that's hopefully going to be more benign as well as a dramatic fleet count increase, which we'll talk about on the fleet slide. So looking at some of the other lines, if we can move to the next slide, please. There are elements of the business that are impacted by the distortions that I mentioned, but there are elements of the business that are also unique to the situation. So in terms of airport and handling, that's -- as JÃ³zsef mentioned, there's an element of costs keep coming through that airports are trying to claw back after a few years. And there's an element of inefficiency because we are paid or incentivized to bring volume to airports, volume in the form of passengers. And as we entered into an environment last year of no grounding, we didn't bring the volume, which meant that the pricing that we were expecting, the pricing benefits because we get incentivized to bring volume didn't come through. And that drove an increase into the passenger charge. So what we're doing there is making sure that we look at the overall network and how we design a network to maximize the opportunity now going forward, leveraging our growth to make sure that we are able to lock in long-term deals or renegotiate the deals. As you can appreciate, we have almost 200 airports in our network. So we have to go through, in many cases, one by one. Some of them are part of a bigger group, but there's a lot of individual discussions that happen. And as we're doing that, it takes a bit of time for the impacts to flow through. In terms of maintenance, you can't look at maintenance in isolation. You have to allocate a portion of the compensation that we get to the maintenance line because the compensation is there to offset some of that cost. But if you look at it from a sort of year-on-year perspective, it doesn't reflect the true picture. So you'll see that there was a 55% unit cost increase in maintenance. That is not a true reflection just given the fact that you have to tie some of the compensation to that. But maintenance is an issue because while there is inflation coming through there, there's also the fact that we were hoping to get different pricing structure on maintenance through the Pratt & Whitney deal. In terms of depreciation, we talked about, that's a big element. I think crew, we're actually in pretty good shape. We've done some benchmarking, and we far exceed the marketplace in terms of our crew performance, in terms of cost, but also, I think, the quality of our crew. And then otherwise, we need to make sure that we maintain our EC261 performance now that we've managed to bring that in line and overall deal with inflationary issues through the growth. If I can go to the next slide, please. So this is a chart similar to last period, that talks about the free cash flow. So we start with our EBIT in the period. We add back the depreciation and amortization that we incurred. We have an element of presold tickets, which is the unflown revenue liability. Some working capital movements, which is normal for this type of seasonality. Other operating cash flow is mostly the FX reversal that comes back, the unrealized FX, which gets us to a positive EUR 91 million of operating cash flow. Net CapEx is a combination of payments out under JOLCOs and finance leases as well as sale leaseback proceeds coming in, a minimal amount this year in terms of sale leasebacks. Then you have the normal lease repayments. And so you end up with a free cash flow of EUR 189 million. So actually pretty slightly positive free cash flow conversion. No issues in terms of cash flow, no issue in terms of cash balances. We can move to the next slide, please. We ended up the year with EUR 1.6 billion -- sorry, the year, I apologize, the quarter with EUR 1.6 billion in cash. It actually would have been around EUR 1.77 billion, but we chose to early prepay the PDP facility, which was at that point, EUR 171 million outstanding. And that's consistent with our objective to eliminate financial debt, and I'll talk about that in a slide -- a couple of slides later. And so year-on-year, we were roughly the same in terms of our cash balance, and that's despite some of the pressure of not growing. So I think we're driving a better business, more efficient business when it comes to balance sheet and cash flow management. Next slide, please. So obviously, there's a lot of focus on the overall leverage position in the company. It is a fact that as the fleet grows, leverage will increase, provided we continue to purchase aircraft either with financing outright or through leases because of the way that the leases are brought on to the balance sheet. So as the fleet grows, debt will increase. There's nothing we can do about that. We've talked about what are the triggers in terms of changing our ownership structure, and we continue to evaluate that. However, I think it's important to look at the second chart in the middle top, where you can see our financial debt reducing. So financial debt is what I would consider the non-lease debt. So that's bonds and other third-party lenders that we deal with. And so as I mentioned, you can see the PDP facility was there at F '24, it's gone at F '25. And then at the end of F '26, we'll have repaid our January '26 bonds, and we'll have hardly any third-party debt on the balance sheet. That's by design. We think that the cash generation potential of this business will put us in a situation where we have other problems to solve, good problems to solve. Our leverage ratio is improving, but the same challenge that I discussed on some of the fixed cost elements around ASK production also impact the leverage ratio because you have assets sitting on the ground that aren't generating EBITDA. So the leverage comes with adding assets to the business. But if you can't use them to produce EBITDA, it's going to put pressure on the leverage ratio, as simple as that, but notwithstanding it's coming down. And the sooner we can get aircraft unparked and the sooner we can get them up into EBITDA generation, then the leverage ratio will improve and get us towards that 2x leverage that we'd like to get. In terms of our lease debt, though, so turning aside the financial debt, you can see that it's stable in terms of right around 3, 3.2, 3.3. And then in terms of our rent coverage, you can see that our rent coverage is also stable. So the amount of EBITDA that we're generating versus our obligations to lessors is stable. And we would expect that to increase as we move towards a larger aircraft that is capable of generating ultimately more margin versus a flat rental. So we're pretty pleased in terms of how that's progressing. Could it be better? Yes. And we can control that or we can work on that by focusing on eliminating unproductive assets as quickly as possible. With that, I will hand the floor back to JÃ³zsef and be ready for any Q&A later on. Thank you.
József Váradi: Thank you. Could you please move the slides. I think you must be tired by now listening to me with regard to Pratt & Whitney and GTF and updates and all those sort of things, but let me give you the latest version of that because no matter how tired we are or I am of this, but this is a profound factor affecting the performance of business, probably the single biggest issue we are dealing with as we speak, if you look at all the kind of aspects of issues arising from this. So we reached agreement with Pratt & Whitney. And basically, that agreement extends the 2024 arrangement for 2 more years, '25 -- calendar '25 and calendar '26. The merit of the agreement, commercially speaking, financially speaking, is very comparable to previous year's agreement and very consistent with the financial support. On top of that, we managed to reinforce some more operational KPIs, more operational support from Pratt & Whitney like spare engines and induction slots. We're seeing these are important issues. And if we don't manage them, they can make a very significant financial impact as well. So we wanted to put Pratt skin in the game with that regard and near them down with regard to actually legally commit to this line of support. With regard to on engine aircraft, we have 177 aircraft on engine. We have been running a very comprehensive and lengthy process with the 2 contenders, and we would be expecting the conclusion of that negotiation in the next few months. So we shall see whether we're going to be able to bring it to the market before the end of this financial year. In terms of planning assumptions going forward for grounding, we are still looking at this number 40, 40 aircraft to be grounded. That was kind of the number in 2024, and this is kind of the number we are looking at for 2025. However, I would say that it is subject to change. We are looking at ways of acquiring more spare engines. I mean, Ian just mentioned how important it is to uplift that capacity grounded at the moment to make it productive capacity and more spare engines, while they will add cost to the system, more depreciation in a way because more capital would be deployed. But at the same time, it would be reducing the unproductive portion of the fleet. So we are looking at this. So there might be some variation, but in kind of big number terms, I would say that probably we're going to be ending up with around 35 to 40 aircraft on the ground. Now obviously, in terms of proportion of the grounded fleet, it is going to decrease versus the overall fleet through the fleet growth of the company. Would you please move the slide? Now this is important. And I know this was a significant concern for you. In the past, although we kind of expressed confidence that we're seeing this was a manageable issue on hand, but now this is all contractual. And we entered into a contract amendment with Airbus, and we were reflecting on 2 fundamental issues. On the one hand, it is Airbus' own ability to deliver. I mean, notwithstanding Airbus' contractual commitment, they have not been able to fulfill such commitment, and they have been slipping on aircraft deliveries actually quite significantly. Boeing became a lot more topical given all the issues they have had. But at the same time, while Airbus was doing better, they were not perfect. They were far from being perfect. And the other issue we had to reflect on, obviously, is the grounding of the GTF, which kind of changed dramatically the capacity profile of the airline when we get an aircraft grounded and when we opted the capacity back. So we definitely wanted to avoid kind of the roller coaster effect on capacity that one day, we grow nothing and the other day, we grow 30%, 40%, 50%. So that kind of takes into all these issues into account and resets the path for aircraft deliveries. You can see that the fleet growth on face value or nominal value will get significantly modified. But when you add the uplifted capacity from the groundings, actually, that will smooth the CAGR and the growth rate of the company at a level of around 15% to 20%. And you know that, that has always been the target. And we originally constructed the aircraft order back in 2017 in Dubai, that was the number we managed the aircraft deliveries and redeliveries against. And now this principle and this KPI is reinstituted through the modification of the aircraft order. And you see that basically, this reset creates allowance for the retake of the grounded aircraft, especially in fiscal '27 and '28, which will be the peak of this uplift as we are going through the maintenance cycles. And you can also see that effectively, Wizz Air is becoming a sole A321neo operator in about 5 to 6 years from now. We are already heavily skewed towards that aircraft type, which we think is the best narrow-body aircraft available in the market globally. But effectively, we're going to be moving towards that state almost exclusively to only operate A321neos. Could you please move the slide? So we were doing a bit of an internal study to understand that now we have the aircraft order restated according to the new realities to also look at the market opportunities coupled up with the aircraft deliveries. And clearly, what we are seeing is that if we do nothing, just deployed a net 194 aircraft to be delivered until 2030 in Central and Eastern Europe, we would do fine. So we looked at the current state of life from an aviation perspective and from a propensity to air travel perspective. And you can see that in 2023, 2024, the trips per capita, so propensity to air travel in Central East Europe is roughly a good 1/3 of the Western European level. And we expect that to increase to around 50% by 2033, 2035, we shall see exactly how that plays out. But clearly, that number keeps coming up. And this is the function of GDP growth. I mean some say that actually it's not the people who fly, but it's GDP that makes people fly. And that's true because there is a very straight and direct correlation between propensity to air travel and GDP development. So if you start looking at that translation, how GDP translates into demand, we are seeing roughly around 100 million new passenger base to be created in the next 10 years or so, requiring roughly around 300 aircraft. Now we have a net 190 aircraft to be delivered. So effectively, if you do nothing else just being focused on Central East Europe and kind of owning the growth in Central Eastern Europe, which has been largely the case, and you will see that, that kind of a competitive dynamic is going to be even eased going forward. Actually, we can deliver our entire growth through Central and Eastern Europe. Now I'm not suggesting at this point in time that we are stepping away from any other growth opportunities in Central Eastern Europe. But I just want to build the confidence to you that the base case scenario for Wizz Air is to grow the business in Central and Eastern Europe. Everything else comes complementary and needs to be kind of contested against the Central and Eastern Europe opportunity. So we should not be diluting profitability as a result of diversified growth. Actually, we should be enhancing profitability through diversified growth. Could you please move the slide? So looking at the competitive landscape in the next few years, let's say, until the end of the decade, I think the coin is flipping significantly. You recall last year, especially, we were hugely disadvantaged by the groundings, losing the ability to quickly compete on capacity and becoming to some extent, at the mercy of our competitors, how they take on us given our kind of weakness resulting from the groundings. Now that all is going to change, and that's a significant movement in context of the business. As you can see, actually, we're going to be in the driving seat with regard to growing capacity and to take advantage of the GDP development and this translation into disposable income and propensity to air travel. You can see the numbers as we see the kind of the net fleet movements of ourselves and our principal competitor. So clearly, we're seeing that competition is going to be more muted in the coming years. We will be in a lot better position strategically to benefit from growth. Obviously, growth delivers direct cost benefit to the business, but also it delivers strategic benefit. And from our perspective, we're seeing that actually the competitive environment is going to be more benign going forward than what it used to be. Could you please move the slide? It is also important to look at how we are going to deliver benefits for the business. Well, first of all, when it comes to network development, our focus will be on densifying the network as opposed to diversifying the network. So we think we have quite an extensive backbone of our network by now, but we still need to put meat on the bones. And this is what we are going to do. I mean you can see that we have been a lot more dense over the years when it comes to frequencies. We have been skewed a lot more towards high-frequency operations. And that's, of course, very positive because that creates market leadership, that creates brand awareness in the marketplace. And through that, actually, that enhances profitability. That is quite a direct correlation between densification and profitability. Maturity, we have been fairly active over the last few years. First, because of coming out of COVID; second, because of the geopolitical impacts on the business; third, because of the GTF supply chain issues we had to comprehend to keeping capacity, closing down capacity, redeploying capacity. So basically, we were going from premature capacity to new premature capacity. Now we are expecting them to settle down and to gain a lot of demand strength and financial strength through maturity. We are not expecting that kind of a hectic external environment that would affect our capacity as it's been the case over the last 4, 5 years. So that's another significant driver going forward. And thirdly, if you look at the profile of our passenger mix for purpose of travel, we used to be highly skewed towards VFR traffic. You see that actually the portion of that type of traffic is coming down and our business gets diversified for other types of traffic, especially leisure and city breaks, a little bit of domestic, but I think it's fairly marginal. And it is kind of building on the stance that maybe the cause used to be the people going to Scandinavia to build ships. Maybe they used to be the people coming to the U.K. to be the plumbers. But all these people are now largely returning home because of the economic opportunities in Poland, and they are becoming the leisure spenders. So they're going to enjoy the financial benefits they've been able to accumulate over the years. And we are adjusting the network accordingly. Could you please move the slide? So just to sum it up, unfortunately, the Pratt & Whitney GTF issues significantly distorted fiscal '25 more than expected, more than predicted, more than we planned on, hence, the adjustment to guidance. But that GTF headwind is going to unwind going forward. It will be less of a proportion in our fleet. And also by going through the cycle in the next 2 years or so, we should be able to leave this issue behind us completely. So hopefully, by this time, we have learned the lessons needed to be learned. And from here on, this issue is going to be a lot more predictable than before. We feel that we are in an inflection point with regard to the business. We are seeing very strong fundamentals coming back. You see the revenue performance. We're seeing customer demand is there. We now are having a competitive change with regard to our own competitive strengths versus competition. A lot of it is coming from the performance of the supply chain. And maybe this time, actually, we are on the lucky side of the equation after all the black swans we've been processing over the last few years. Now we have the ability to grow and use capacity as a leverage for the business, which I think should give us the scope for better managing cost and take cost back to where it used to be and also strategically better managing our brand, our positions vis-a-vis the competitive marketplace going forward. And from your perspective, as we are continuing to nurture and mature all those positions should give you the confidence of returning to industry-leading positions when it comes to performance, financial performance, balance sheet performance and being an investable business in the future. And I would just say on a personal basis that I know that you guys are frustrated and believe me, I'm probably 10x more frustrated than you are. Because this company is working very hard, and it is not like we are a bunch of idiots that we don't understand what we are doing. But simply, the issue we have been coming grips to with has just been so overwhelming and unprecedented that we just really couldn't figure it out better despite all the intellectual capacity and efforts going into this business. But as I started with, I would just repeat that today, we are in a very different position than where we were a year ago. Issue has just started. Now the peak is behind us with regard to the GTF. We lost our ability to grow because of the groundings. Now we regained ability again to grow and play that strategically and operationally on cost and financial performance. And we used to be in a competitive landscape of being totally disadvantaged. And now we are in a new landscape that actually is playing for our strength. So that should be translating into significant improvements on operational and financial results as well as on strategic setting for the business going forward. Thank you.
Operator: [Operator Instructions]
Jaime Rowbotham: It's Jaime Rowbotham from Deutsche Bank. I've got 3 to kick off, all a bit linked to the guidance, I'm afraid. First is on FX, the second is on the positive items in other costs and the third is on tax. On the FX, if we look at the guidance, Slide 4, obviously, I'm sure you were disappointed to see this morning that dollar-euro is back at 1.04 again. So in a way, the same thing has just happened has happened after H1, which is the FX has affected the guidance. Are you not tempted to just start guiding excluding unrealized gains and losses altogether? And in fact, would I be right in saying that if I take the pink block in the middle, Ian, of EUR 250 million to EUR 300 million and strip out the EUR 94 million unrealized FX gain from H1 that in effect, there is Wizz's guidance for full year, excluding any more unrealized FX gain/loss volatility?
Ian Malin: I'll take the first one. And I guess, maybe all 3. So I think there is merit to looking at things without maybe on an operating profit level. But what we want to do is maintain consistency for this year. So what we do next year is a big question. Obviously, you need to have a view as to what we learned from this year and what the environment looks like going forward. We have good visibility. We're starting to see some visibility into next year, but I think that there's merits to looking at that. We don't want to change methodology halfway through, which is why we came up with this structure here to try and focus everyone on the pre-FX number at the end of the day, so that you can see and track how we're performing on the things that we can control. So -- yes, so I'm trying to speak towards the EUR 250 million to EUR 300 million number at the end of the day, not whatever it is because like you said, it's going to go up and down. And if it goes up and we benefit it from, I don't benefit it from in terms of the EUR 250 million number. And if it goes down, we want to make sure that we're protected in that respect. We just -- we do know that it's volatile and it's going to continue to be volatile. So let's just focus on the business.
Jaime Rowbotham: Can I ask on the other costs then?
Ian Malin: Yes.
Jaime Rowbotham: So -- sale and leaseback gains, obviously, not many in the quarter. Big number Q4 last year. Intrigued to know what's baked in for Q4 of this fiscal year? And equally importantly, I think, Ian, on compensation, my run rate is about EUR 75 million a quarter.
Ian Malin: A little less than that for Q4. It's closer to what we had this year -- for this quarter EUR 54 million, a bit more than EUR 54 million.
Jaime Rowbotham: Okay. Do you want to address SLBs and then I'll ask about tax?
Ian Malin: So SLBs, we had EUR 5 million for the quarter. It's going to be a bigger number in Q4. It's not going to be big as last year, but it's going to be a bigger number. But that's just simply a function of the timing of aircraft deliveries and the return to growth. So there's nothing unique about that. There's nothing -- I think there are going to be 5 additional engines coming through, but that's not really going to move the needle to any effect.
Jaime Rowbotham: And then I think you preempted the question, but these tax changes you mentioned, getting this tax asset, is that going to mean a credit in Q4? And is that baked into the guidance?
Ian Malin: It is. Yes, it just doesn't flow through the CASK forecast number. And it's a material number, but it was always part of the plan, which is why we had that EUR 350 million to EUR 450 million number. So really, the movement down is the impact on cost that we are facing between Q3 and Q4.
James Hollins: It's James Hollins from BNP Paribas. I am surprised Jaime didn't follow up. Can you quantify the tax credit in Q4 because I'm used to tax accounting. Maybe give us a tax rate for full year '26, if possible? I'm going to carry on. So second one would be, JÃ³zsef, I genuine have a lot of sympathy for the Pratt & Whitney engine issue. There's clearly you're not getting anything like the compensation, which you deserve, but there we go. The issue I have is -- I mean, what gives you the confidence that this is actually behind you? I think you were quoted there saying it's behind you. I mean JetBlue earlier this week on their call talked about the peak pain coming out towards 2027. So maybe it's a very different profile as to how we're going through this. And then the third one, again, JÃ³zsef, is there any point during Board meetings, during shareholder meetings that it becomes apparent you should maybe not try and double your fleet over the next 6 years, maybe grow a bit more sedately. Or am I thinking about that completely wrong, it's growth at all cost?
József Váradi: You want to go with the tax?
Ian Malin: Yes. So to quantify the tax rate, still something that we're working on, but I think it's probably something you can work out pretty easily. If you take the sort of FX out, which you're asking me to do, if you think about EUR 250 million to EUR 300 million and you roll forward the RASK in mid-single digits, which are not changing and you take the ex-fuel CASK up to high single digits, you'll see a gap there at the end of the day. We make an assumption about what we can make for Q4 and the rest will be the tax benefit. So that's a material amount, a big number. For F '26 tax rate, because we're moving into a 15% sort of global minimum tax, I think you can expect to be sort of keeping up for that going forward. This is a one-off.
József Váradi: So with regard to Pratt & Whitney and how the cycle plays out airline by airline. I don't think that, that is necessarily kind of an industry pattern. I think that is an airline pattern. So depending on when you started flying the GTF, I mean don't forget that Wizz Air was one of the first ones flying GTF. So we are one of the first ones being affected by the GTF issues. We are a large operator, one of the largest in the world of the GTF engine. So others may have a very different profile. Starting later, they have a smaller scale in their business. Based on our modeling, if you think about it, so we have to ground the fleet effectively for 2 purposes, one being the powder metal. This is actually a lot easier to predict issue in the business. It's painful. It's frustrating, but it's actually quite plannable, quite predictable. The bigger issue, what we are seeing is how Pratt is going to kind of navigate their global supply chain through the childhood diseases of the GTF technology. So just to give you an idea, today, we are losing roughly on average 3.5 engines per month, and it has nothing to do with powdered metal. This is due to the shorter-than-expected engine cycles, unexpected engine removals as we call them. But we are modeling kind of the way we're going to be grounding engines on the base of empirical evidence. And then depending on whether Pratt is going to put that engine against a big shop return program, which basically means that it's just replacing the powdered metal if the powdered metal issue is involved and then the engine comes back. But the issue is that there is going to be a second wave when all the other cyclical maintenance issues will have to be addressed. And based on this model, it suggests that we're going to be sort of coming to the end of the cycle towards the back end of '27, maybe early '28. So this is still a way to go, but it is a fairly plannable, predictable pattern, assuming, of course, that Pratt & Whitney is going to be able to implement that. That's why it was very important for us that we are not only addressing the financial side of the equation, but also the operational side of the equation in terms of number of slots for inductions, et cetera, and spare engines. I don't know if that gives you the answer. I don't know how that works out for JetBlue to be honest. I'm not sure that they have the same operating profile what we have. But with regard to the fleet, I mean, I don't want to create the misconception that Wizz Air is set up for growth at any price. We are not. I mean we are set up for creating shareholder value. Maybe it doesn't feel it that way, given the current issues we are dealing with, but we are set for creating shareholder value. If that supports 15%, 20% growth, we're going to be delivering 15%, 20% growth. If it only supports 5% to 10% growth, we're going to be delivering 5% to 10%. I think as we have demonstrated time and time again, our ability to reset aircraft orders and deliveries in line with the financial expectations of the business, we will continue to do so. At the moment, we believe that this is the scope of what we can deliver. Let's not forget that 15%, 20% is not just measurable on the base of its own merit that whether we can deliver it or not. We know that 15%, 20% is the growth we actually can execute against in terms of systems, organizational capacity, what we need with regard to our own capabilities. But you also need to look at the market context. And where we think we have an opportunity in the next 4, 5 years is through the Boeing delivery issues that I think our competitor is going to be restrained with regard to their ability to grow. I mean this is the opportunity to jump. Now if it turns to be problematic with regard to financial performance, we're going to be back to Airbus and renegotiate. And to be totally honest, and maybe this is going to hurt Airbus, I still doubt whether they actually can execute the current agreement that we just put in place after revision.
Harry Gowers: It's Harry Gowers from JPMorgan. Two questions, if I can. You talk about on the slides, cost actions and other benefits that are expected to be realized in Q4 and beyond. So maybe you could just talk us through the key drivers or buckets there and how we'll see that in the numbers, excluding obviously the return to growth and the impact that has on cost? And then just on your growth plans going out, like you said, you will be growing significantly, whereas your main peer will be constrained. So are you looking to deploy capacity directly against Ryanair? Is that part of the thinking and put competitive pressure on to them? Or is it just a byproduct of where you put the aircraft?
József Váradi: Let me take the second question, the growth issue. I don't think our ambition is to create fights more than what we need. We're going to be defending. So when we are attacked, we're going to be defending hard. But I don't think that necessarily, we just want to create mess all over the place just because we have capacity. But I think we want to deploy capacity against this consumer demand. I mean as we are trying to demonstrate Central and Eastern Europe as kind of the base case for genuinely increasing consumer demand through propensity to air travel. We think this is the demand that we should be attacking and we should be putting capacity against. So our objective is to continuously stimulate demand and capture that new demand opportunity as opposed to necessarily recutting the existing cakes. So I'm not overly motivated with going against existing incumbent competitors to take their passengers. I want to take the new passengers, the new demand coming to the market.
Ian Malin: Okay. So on the cost actions and the cost situation, the -- so you'll notice that we deliberately did not mention black swans, boohoo was us, right? We're dealing with all these things, right? We're making sort of the volatility of the geopolitical world and the environment that we're in into the business, building the business to be able to adapt and be resilient against whatever comes its way. We've been tested. We're comfortable with that, but we still just got to live with it because I think it's not going to get any better. I think it is going to be the way it is. But if you reflect on what we've been through, there's been an incredible amount of instability and volatility in this business. And the thing that we're trying to do, the thing that Mike and I talk about mostly is how we can just drive stability into the business. So what happens when you have a problem, right, in a business, you throw money at the problem, right? That means that you're driving costs up. You've got volatility around what assets are going to be available. And so you're putting assets on a route, you're taking assets off a route. That's not effective from an airline because you have to take time. And as you know, we sell 90% of our seats within 90 days. So you need at least 90 days to fill the flight up and get the load factor and make that flight contribution positive at the end of the day. So what we're trying to do is actually, while running an airline, take a step back and plan better and predict better, right? And so if we're growing 20%, we as a business need to make sure that we're growing 25% so that we're actually ahead of the curve and not constantly scrambling. And so that means going through our capacity, planning better, being -- having a longer horizon, using that horizon to go to the airports and say, "Hey, we know we didn't deliver," And they're going to say, "Yes, you didn't deliver. You said you're going to deliver. You had groundings, you didn't deliver." Well, here's the plan, and we'll deliver it, evidence that and then use that to leverage better pricing. Same with our suppliers, taking a step back and say, "Okay, look, we understand you're suffering, labor has been very high, supply chain is a mess, raw material is really expensive. But you're in a cycle right now." So take the aftermarket, my old background, right, in the spare parts world, everyone is minting money right now because all the airlines are scrambling, trying to get parts and we'll pay whatever it is just to have access to parts. But that cycle will come to an end at some point. And some of the guys are going to be there for -- are going to be in the business as long as we are, and they're going to look through the next cycle. So how can we match up our growth for the next 5 years with their ambitions to make sure that they have baseline volume to be able to benefit through the down cycle into whatever the next cycle upturn is. And so it's really about eliminating this chaos, focusing on the stability, the densification, building what we can out of what we have and making sure that we stop running from fire to fire and really start thinking about the long term. Easier said than done, obviously, and we've been saying it for a while. But again, I think it's really important with the benefit of the Airbus order that we've now nailed down, the combination of the unparking, we have visibility. If Airbus -- I think in the near term, Airbus will be pretty reliable. But obviously, going forward, who knows what happens. But I think that, that is something that we can look towards. We can use that to our strengths, both internally and externally. That's how we're going to do it. But it's going to involve negotiations. And we've been doing that throughout this year, sitting down with suppliers really pushing back or coming up with creative ways so that we get better pricing and they get more certainty of volume. That's what they want at the end of the day. They want to make sure that they have an anchor tenant to be able to run their business, and we should be that because of our size and scale and our presence.
Alexander Irving: Alex Irving from Bernstein. Two from me, please. First on the guide, second on the fleet. Think about the guide, outside of FX, you've taken down the midpoint by about EUR 125 million for the full year. Unit revenue guide has remained the same, so it's cost. What of that -- what lines have you changed your view on since 3 months ago? And how much of that was unforecastable when you guided the market at H1 results? On the fleet, it's kind of part A and part B to this. First of all, you've spoken before about if and when the delivery profile moves to the right, you hope to get some compensation from Airbus. Are you getting compensation from Airbus and when and if you can share any details of how much, please? Also within that, are you still planning on an eventual 47 XLRs or you converted some of those into regular old A321neos?
Ian Malin: Okay. So I've tried to give you that guidance on what -- how we arrived on EUR 125 million or EUR 100 million or however you want to do the math. And it's basically on the Slide 2 or 3 under the ex-fuel CASK column. So part of it is timing. As you know, we were hoping to get the Pratt & Whitney deal done well, as early as summertime, and then it was sort of in the autumn and then it ended up in December. The Pratt & Whitney deal, I mean, it is a very complex deal. We're not going to get into the details of it because we can't. The headline number is that, of course, there's a day rate per grounded day, but there's also sorts of things that also come into play like induction slots, maintenance support, cost of maintenance, which categories of maintenance happen where environmental issues and things like that in terms of where you fly the assets. So one of it was just the timing of that deal coming through and some of the features of that, that we had hoped to be able to drive and we did it. Again, it's comparable to the prior deal. Would we have liked it to be better? Sure, of course. We're ambitious, but it reflects part of that. Second is that we were hit with some unforeseen costs. Some of these costs are just simply the result of a publication that comes out. I'm engaging with your control to try and understand that and what we can do around it, but it's a monopoly. So what more can we do. It affects everybody and even Ryanair mentioned it in their Monday release. Again, there's the realized FX portion that I talked about that hits. And this is a dollar-based industry. It's not just the fleet at the end of the day. And so those are the big drivers in terms of how we got to the EUR 125 million.
József Váradi: Okay. So with regard to the fleet recomposition with Airbus, of course, I cannot give you kind of details of the agreement, but kind of the construct of the agreement I can explain. So when you renegotiate, you put a number of issues on the table and you try to end up with a comprehensive agreement. And in our case, this renegotiation addresses, of course, the delivery schedule, delay compensation, escalation pricing because we were kind of pushing a number of aircraft to the back end of the delivery stream and PDP, which is equally important. I mean it's a lot of money before Airbus a bank where we are depositing our money for future aircraft deliveries. So this is all comprehensively negotiated. And we think we ended up with a very strong deal on our side. I also think it is good for Airbus because Airbus has its own issues in terms of being overcommitted contractually versus their ability to deliver. So I think that's also easing their pressure. So I think it's a good deal, and we are very satisfied with that. We have some level of visibility because effectively, the whole industry has been negotiating delivery schedules with OEMs. So I think we have some understanding how those have been happening financially, operationally, PDP-wise and we think we come out at the high end on that. With regard to the XLRs, we have not converted any of the XLRs, but we have been rescheduling the XLR. So we were pushing a bit more towards the back end of the delivery stream to kind of ease the pressure. I think we concluded that we want to learn how the XLR operates and how the XLR creates value, financial value and shareholder value. And we were overly front-loaded with the original schedule. So we became more even and even I would say, a little more backloaded with that, but we have not converted any of the XLRs, but the -- all these XLRs remain subject to conversion rights.
Ruairi Cullinane: It's Ruairi Cullinane from RBC. First question is, should we still expect a low single-digit reduction in ex-fuel unit costs into full year '26 given the strengthening of the dollar impact on your cost base there and some of the other costs headwinds you mentioned over the quarter? Secondly, you mentioned the favorable capacity backdrop, competitive backdrop into next year. Would you be able to provide any sort of comments on yields or RASK on book-to-date capacity?
Ian Malin: I'll start with the first one, if that's okay.
József Váradi: Yes, sure.
Ian Malin: Also, I think it's important to -- we're the bank under the Airbus situation with PDP. We're the one putting the money lending it to them.
József Váradi: But I don't know if that's the way they take it.
Ian Malin: Exactly. So in terms of -- there was a fuel CASK, right?
Ruairi Cullinane: Sorry, ex fuel -- next year.
Ian Malin: Ex-fuel CASL. Yes. So -- yes, with 20% capacity, you can expect there to be an improvement on ex-fuel CASK. Again, we are still facing this environment where you're going to have this distortion, right? We're not going to have dramatic improvement in terms of unparking. There's going to be marginal improvements, and we think you can get maybe to 35% or better than that. But you're going to have that pressure impacting us. So we're fighting that. But I would say that -- I would expect there to be at least 5% improvement in that respect or in that range.
József Váradi: Yes. With regard to RASK, I mean, RASK will be subject to our own capacity growth and the competitive landscape and changing consumer demand and GDP development. So -- but based on what we are seeing at this point in time on a forward-looking basis, we are actually pretty confident. I mean we have been talking about revenue a lot over the last few years. And I don't think we have lost confidence in revenue. We have a lost confidence in our ability to stimulate demand. And I think we have proven those with numbers. We didn't really have huge issues on the revenue line, and that continues to be case. Even to an extent, I would say that further upside to that could be potential further network enhancement. We are really rigorously addressing the underperforming part of the network to make sure that this is basically eliminated completely. So I'm actually pretty positive that you will see positive outcomes and positive numbers on the RASK side of the equation, notwithstanding the growth of the business.
Stephen Furlong: Stephen Furlong from Davy. Three, summer growth, GTF groundings, rating agencies. So maybe two for JÃ³zsef and one for Ian. On the summer growth, I didn't get that. What exactly is the growth plan for this summer in terms of, say, base case and et cetera? Second thing is on the GTF groundings and I know your compensation goes out to end of '26, clearly, you could roll it even further. But -- so is the kind of working assumption that the ungrounding happens largely in FY '28 because you were quoted or maybe misquoted, I'd say, at the Dublin Air Finance Conference in terms of it's going to be going on for 4 years, this GTF issue was just sort of...
József Váradi: Sort of from the beginning -- maybe already started more than a year ago.
Stephen Furlong: Okay. That's what I thought it was. And then on the rating agencies, I noticed that Moody's had you on negative watch. And I just wanted to know what -- how our discussions are because we talk to them on a regular basis?
József Váradi: Okay. With regard to summer growth, we've already made a -- actually a big number of announcements for growth, significant growth in Poland in the former Yugoslavian countries market. But of course, the XLR start in the U.K. and Italy. So we basically have around a dozen aircraft deployed for summer growth. So you should be expecting capacity improvement in this range of 15% to 20% coming through the first half of the financial year. So again, we are very confident that actually each of these growth opportunities are tackled on the basis of financial upsides, competitive dynamics and consumer demand. So they should be adding value to the business as opposed to distracting value. But with regard to the GTF, I think the problem with the GTF is that a lot of problems. But as we are learning, Pratt & Whitney is also learning. And there is a degree of reluctance to make kind of long-term precommitments on the basis of not really knowing how exactly issues are working out. So we -- like a good year ago, we agreed to like a 1-year approach that we would be only contracting for 1 year in order to see what's happening in that period. And then if there are learnings to be addressed that we would be addressing those going forward. And actually, that's how we arrived to spare engines induction et cetera because we felt that those are significant issues we need to pin these guys down. And a bit, this is the continuation of the same logic that we kind of foresee the next 2 years. So let's just learn what comes up during those 4, 2 years. And if we are not yet out of the ditch, then we would be taking those learnings onboard and would adjust the extension on that basis. That's an agreed principle, actually a contracted principle between us. So we don't think that the current extension is going to cover us until the back end of the cycle. We still have a period, probably a year, maybe a bit more than a year to still tackle, but we will tackle it on the basis of the learnings we're going to be gaining during this period.
Ian Malin: And on the ratings agency, yes, so we obviously were downgraded by Fitch after a couple of years of maintaining and Moody's had done that already prior. Same exact issue when it comes to simply they have a model and they have metrics that you need to hit. And if you don't have something that's within the next period, close period getting to 2 that it falls out. There was a debate as to whether there was a downgrade or whether there was a negative watch. They understand the issues because we explained some of the topics that I discussed today, maybe with less granularity because we've been working on the analysis to really understand the impact of what we need to do. But I think that that's a good place for things to stay for a while. I should also point out that on January 17, Wizz renewed its EMTN note program base prospectus. That's available on our website. So we've done that as a measure to give us access to the capital markets should we need to. We don't expect to because as I mentioned, we're looking to repay debt, but there are still -- there are things that can happen in this industry, as you know. And so having that access is something that we see valuable. And in doing that, in that process, we had to get both rating agencies to reaffirm the rating, and there was no impact as of January 17. So we continue to focus on building an investable business and bringing back our margin metrics. And with that, the rating should come and progress. But it's not something that's going to be fixed with the magic wand this year or next.
Conroy Gaynor: Conroy Gaynor here from Bloomberg Intelligence. So just a quick one on 4Q RASK. I think you've given us a steer on bookings, maybe up sort of trending up 8%. But of course, what that doesn't include is the Easter impact last year and the bookings that were close to Easter last year. So can you just remind us how you performed on those last year? And what sort of headwind maybe you'd expect to still come from that into this year? And then my second one is on cost for next year again. So clearly, there's a lot of moving parts, some adverse unexpected things happening. Just wonder if you get some -- like a summary on some of the costs we expect to drop out next year, at least as being an obvious one. Some costs you expect maybe to stay in there, but perhaps just annualize next year, but then also perhaps some of these new adverse costs that could also still flow through into next year and be a negative surprise for next year?
József Váradi: Maybe I'll start with RASK. So we were estimating 16% uplift on last year's March performance as a result of the fall of Easter. Now Easter is going to fall towards the middle or second half of April this time. So this is kind of going to move over from March to April. So in that regard, we have a headwind because we won't be supported by the fall of Easter. Nevertheless, we are tracking and seeing significant improvement of revenue performance in the quarter.
Ian Malin: Okay. So in terms of costs, obviously, we'll be starting from a very high base, right, where we are right now. As you can see, our costs are going to be in the high teens currently. So that gives us part of the ammunition to think that there'll be improvement there. But as you pointed out, wet leases are gone. And that's EUR 113 million of immediate upside year-on-year, right, that we can look towards. The reason why we're a little bit cautious in terms of really being specific on CASK is because there is a lot of inflationary pressure and there's a lot of work we need to do separate from the distortions that are happening around groundings. So we need to understand what's happening with groundings and what the improvements are we can do in terms of unparking aircraft. And we also just need to continue to work and leveraging. Like I said, there's 200 airports we have to negotiate with. There's probably a dozen suppliers, real big suppliers that require a lot of attention in terms of the maintenance side of things. We need to maintain consistent summer disruption performance and make sure that we can see through the summer like we're doing in terms of performing like we're doing right now. So I think that we'll see improvement, but it's going to be -- it's going to take some time. My -- the point that I've made on the calls with the analysts earlier today is that we don't see that this cost issue is being structural. We think that it's a combination of things that all align from Pratt and things that we can intervene on back to the question around what we can do in terms of cost management and how we're going to do it and the planning and the stability that's required in the business. And if we can have a stable network, it will drive stable costs, as well at the end of the day, and that will allow us to then work on improving them. In terms of things that pop up and come in, I can't think of anything right now that I'm concerned about or afraid of.
Conroy Gaynor: It's been bad enough.
Ian Malin: Any closing remarks?
József Váradi: Are we over? No questions. Okay. Well, I mean, thanks for coming, first of all. We appreciate your interest. I know that this is kind of a mixed bag what we are presenting today. And you can blame us for not being able to properly forecast, but we are trying to forecast against the unknown and unprecedented issue we've been dealing with. We continue to believe that the sentiments of the business are intact. We still need to get there, but this is a huge issue on hand, but we are trying to deal with. But probably the worst of it has been put behind us, but we still have a way to go on it before we can clean this up, but we should be really seeing improvements coming through now, maybe a little later than originally predicted or guided. But again, this is unfortunately part of the learning process. But we are very confident in the sentiments of the business and in our ability to steer it. Thank you.